Operator: Ladies and gentlemen, welcome to Sienna Senior Living Inc. Second Quarter 2022 Conference Call. Today's call is hosted by Nitin Jain, President and Chief Executive Officer; and David Hung, Chief Financial Officer, Sienna Senior Living Inc. Please be aware that certain statements or information discussed today are forward-looking, and actual results could differ materially. The company does not undertake to update any forward-looking statement or information. Please refer to the forward-looking information and Risk Factors section in the company’s public filings, including its most recent MD&A and AIF for more information. You will also find a more fulsome discussion of the company’s results in its MD&A and financial statements for the period, which are posted in the SEDAR and can be found on the company’s website, siennaliving.ca. Today's call is being recorded, and a replay will be available. Instructions for accessing the call are posted on the company's website, and the details are provided in the company's news release. The company has posted slides, which accompany the host's remarks on the company website under Events & Presentations. With that, I'll now turn the call to Mr. Jain. Please go ahead, Mr. Jain.
Nitin Jain: Thank you, Shannon. Good afternoon, everyone, and thank you for joining us on our call today. Our second quarter results reflect the continued improvements across our operations and highlight the benefits of running a large diversified operating platform. Our solid results come at a time of economic uncertainty and highlight the stability of our long-term care operations and the growth potential inherent in our retirement platform. This was highlighted in our year-over-year same property net operating income growth of 19.7% in our Retirement portfolio and 2.7% growth in our Long-Term Care portfolio. Average same-property retirement occupancy increased by 820 basis points to 87.1% year-over-year in second quarter of this year, leading to significant NOI growth, despite higher labor costs and inflationary pressures. Occupancy further increased to 88.6% in July, a level not seen since well before the pandemic. In line with the positive occupancy trend, we updated our occupancy forecast with the retirement portfolio, increasing into approximately 89% to 90% by the end of 2022 from the previous guidance of 87% to 89%. Our sales and marketing teams have been generating strong interest in our residences by building and maintaining excellent relationships in the local communities. Their efforts, coupled with strong demand, resulted in an increase in rent deposits in our same-property portfolio of 14% and an increase in move-ins of approximately 19% year-over-year compared to Q2, 2021. We also expect our new Aspira retirement brand to support continued occupancy growth by offering personalization and expanded choices to residents. In late April, we launched the new website for Aspira and started rolling out new signature programs. The immediate response from prospective residents and families have been compelling. Initial results indicate that qualified leads have increased by approximately 26% during the first month after the launch, compared to the same period in 2021. Our teams have also worked tirelessly to integrate the 12 retirement residences we acquired during the quarter into the Aspira platform. Average Q2 occupancy was approximately 82% at the acquired residences or 84.1% and excluding one retirement residence that is currently in v-sub [ph]. While this reflects some softening in recent months, we are confident that occupancy trends will become more consistent with the overall portfolio, once these residences and team members are fully integrated in Aspira platform. Now moving to slide seven. In our long-term care communities, resident admissions progressed steadily throughout this quarter. Average same-property occupancy reached 95.5% in the second quarter and in February of 2022, the government of Ontario reinstated occupancy targets of 97% required for full funding. Given the long waiting list for long-term care beds, we anticipate to meet the required occupancy targets at majority of our care communities for full funding this year with limited impact on NOI. Moving to our development plan, over the past year, we prioritized our plans to redevelop our 18 Class C long-term care portfolio in Ontario. Our plans include over $600 million in capital investments and to-date, we have received bed license allocations for the Ministry of Long-Term Care for 12 of our long-term care communities for a total of 2,600 beds, including approximately 1,800 for renewals and over 800 for new beds. Current supply chain issues and high inflation have slowed the development momentum in recent months, including at a project in North Bay where construction started last year. We are closely monitoring cost escalations with respect to material and labor and their impact on our construction starts, estimated development yields and the economic feasibility of our current and future projects. Staffing will remain one of the biggest challenges for some time. And we have been very active on many fronts to bridge the existing labor gap. Externally, we continue to advocate for faster immigration and expedited placements of internationally educated nurses. Internally, we are making important investments with respect to a staff scheduling and call out software to support our scheduling initiatives. We're currently implementing a new system that will provide greater visibility to staffing on a real-time basis. This new technology will help us build staffing gaps more seamlessly and faster. It will also help us better monitor agency staffing and improve scheduling for our own team members. The new system is expected to be completed later in 2022 across all of our long-term care communities and will be rolled into our retirement platform after that. We expect competition for talent to further intensify in the years ahead, and we will continue with enhanced recruitment campaigns with key colleges and universities. During the first six months of 2022, over 1,100 students were placed at our care communities and retirement residences, many of whom we hope to hire once a graduate. Our recruitment strategy is also focused on strengthening our employer brand. We do this by more clearly communicating what it means to be part of Sienna with a goal to become the employer of choice in Canadian seniors' living sector. We plan to achieve this objective by offering a compelling team member experience and by nurturing our purpose-driven culture, making sure our team members feel supported and appreciated it has never been more important and is reflected in many of our initiatives such as our Share Ownership Program, SOR. Subsequent to the approval of SOR by our shareholders at the Annual Journal Meeting in April, shares in the amount of $1.6 million were issued to team members as part of our initial $3 million commitment. With that, I'll turn it over to David for an update on our operating and financial results.
David Hung: Thank you, Nitin, and good afternoon, everyone. I will start on slide 11 for financial results. Sector fundamentals continued to strengthen during the second quarter, increasing demand for quality seniors' living in many of our key markets, coupled with our successful marketing, sales and re-branding initiatives are reflected in Sienna's second quarter results. At the same time, intense competition for talent, cost pressures and decades high inflation continued to impact our operations. In Q2 of 2022, total adjusted revenues increased by 10.7% year-over-year to $180.2 million. This increase was largely due to occupancy and rental rate growth and additional revenue from the 12 properties we acquired this quarter in our Retirement segment and flow-through funding for increased direct care provided to residents as well as higher preferred accommodation revenues from increased occupancy in our Long-Term Care segment, partly offset by lower revenues as a result of 2 properties that we sold earlier in 2022. Total net operating income increased by 10.3% to $34.2 million this quarter, compared to last year. Our Retirement segment contributed $3.6 million of this increase, mainly through same-property NOI growth of $2.5 million and $0.9 million of additional NOI from our 12 new retirement properties. Our LTC segment was stable with total LTC NOI lower by $0.4 million, compared to the last year. Retirement same property NOI increased by 19.7% to $15.1 million compared to last year, primarily due to occupancy improvements and annual rental rate increases in line with market conditions as well as lower net pandemic expenses. This was partially offset by higher cost for agency staffing, culinary costs, utilities, insurance and marketing costs. Rent collection levels remained high at approximately 99%. Sienna's long-term care same-property NOI increased by 2.7% to $18 million, compared to last year, primarily due to increases in preferred accommodation revenues from increased occupancy, offset partly by higher utilities and insurance costs. Over the past two years, we have seen significant cost pressures, including higher agency costs due to staffing shortages, increased insurance premiums and rising utility costs, in addition to generally high inflation in line with the overall market. With respect to our retirement portfolio, we expect that continued occupancy gains, rental rate increases and improving operating environment will help mitigate these cost pressures and we expect operating margins to moderately improve by 50 to 100 basis points during the second half of 2022, compared to the second quarter. We further anticipate that net pandemic-related expenses will range from $2 million to $3 million in the third quarter of the year, as a result of recent increase in COVID-19 cases. Moving on to Slide 12. During the second quarter of 2022, operating funds from operations increased by 14% to $17.3 million compared to last year, primarily due to higher NOI, partly offset by higher current income tax expense as well as higher administration expenses. Q2 OFFO per share increased by 5% to $0.237. Adjusted funds from operations increased by 22% to $17.2 million compared to last year due to higher OFFO, as well as lower maintenance costs. AFFO per share increased by 12% to $0.236 in Q2 2022, resulting in an AFFO payout ratio of 99%. Looking at our debt metrics on Slide 13. Our debt to gross book value decreased by 210 basis points to 43.4% at the end of Q2 2022, compared to 45.5% at the end of Q2 2021, mainly due to mortgage repayments, largely with proceeds from property dispositions earlier in the year. Debt to adjusted EBITDA increased to 9.5 years in Q2 2022 compared to 7.4 years in Q2 2021 and interest coverage ratio increased to 3.2 times in Q2 2022 compared to 3.1 times in Q2 2021. Our debt is well distributed between unsecured debentures, credit facilities, unsecured term loans, conventional mortgages and mortgages insured by the Canada Mortgage and Housing Corporation. And our debt maturities are staggered with the next significant expiry being our $90 million unsecured term loan due in May 2023. Refinancing of this loan, which was used to support the acquisition of our 12 retirement residences, is well underway. I will now turn the call back to Nitin for his closing remarks.
Nitin Jain: Thank you, David. The Canadian senior living sector continues to evolve at a fast pace. And with the changing landscape, we are reaffirming our strategy to grow a balanced portfolio in which our retirement and long-term care operations each make a significant contribution to the company's overall net operating income. With deep experience and scale in each segment, we run two distinct business lines, which are deeply aligned with respect to a newly defined purpose to cultivating happiness in daily life. It conveys our belief that our role does not stop at providing the highest quality of service and care to our residents. It goes much further. Each and every day, we'll strive to bring happiness into our residents' lives by enabling our team to put their passion for their work into action and by supporting families to bring joy into our homes. In retirement and long-term care, we are committed to helping residents discover happiness through personalization, choice and community engagement in a comfortable home-like setting. And in doing so, each and every day, it supports our vision to be Canada's most trusted and most loved senior living provider. Moving to our focus on the energy. Our team focus to create positive changes for our stakeholders and the communities we serve is also highlighted in Sienna's second year due report, which was published yesterday. The need for quality senior care and services has never been greater, and I feel confident about our long-term growth potential and position to meet the needs of Canadian seniors during a time of unprecedented growth. Yesterday, we announced that Dino Chiesa, who had led Sienna's Chair of the Board of Directors has decided to step down after 12-year tenure on Sienna's Board. On behalf of our Board and our management team, I would like to express my gratitude to Dino for his guidance that supported Sienna's growth and transformation. His extensive experience with them and leadership over the past 12 years and especially through the pandemic, shaped the organization and positioned us well in the fast-growing Canadian senior living sector. As a token of appreciation and in recognition of Dino's commitment to this company and leadership in the sector, we're introducing the Sienna Senior Living Dino Chiesa scholarship of $50,000, which will fund the education and training for 10 PSWs across Ontario, BC and Saskatchewan. We are so very pleased to honor Dino through this program and to be able to support the people serving the senior living sector. Shelly Jamieson, who joined Sienna as an independent director in November of 2021 has been appointed as company's new Chair, and I would like to sincerely thank Shelley for taking on this role. As we pursue our vision to become Canada's most trusted and most of senior living provider, I'm looking forward to working with Shelly whose impressive expertise in senior living, healthcare and government will guide us as we continue to grow our company and to add value to our operating platform. We are now pleased to answer any questions you may have.
Operator: Thank you. [Operator Instructions] Our first question comes from Jonathan Kelcher with TD Securities. Your line is now open.
Jonathan Kelcher: Thanks. Good afternoon.
Nitin Jain: Good afternoon.
David Hung: Hey, good afternoon, Jon.
Jonathan Kelcher: First question, just on the margins for retirement home, I just want to confirm. So the 50 to 100 basis points potential you're looking for the back half of this year. That's off the 38.3% you had in Q2?
David Hung: That's correct, Jonathan. It would be off of 38.3%.
Jonathan Kelcher: Okay. And then the $2 million to $3 million in pandemic costs -- is that -- do you expect that more on long-term care or retirement?
David Hung: It's going to be a combination of both. In the long-term care side, it would more be in BC and then we would expect some pandemic costs as well in retirement. So, it would be both segments.
Jonathan Kelcher: Okay. And $50 million to $100 million, obviously, is exclusive of the pandemic cost?
David Hung: It would -- yes, it would be exclusive of the pandemic costs.
Jonathan Kelcher: Okay. And then longer term, given that we're in the -- I guess, seventh wave of this thing now and the costs seem to be sort of a recurring thing. At what point does it sort of become more of a permanent cost and how should we think about margins longer term?
Nitin Jain: Hi Jonathan. Good afternoon. So, what we are seeing is that cost decline year-over-year. So, this wave we have around 22 residences in outbreak and -- but what you're finding the outcome to be very different than what we had, especially in the first, second and the Omicron wave where in most cases, the cases are very mild to moderate, and it's more around just outbreak management to make sure that that doesn't spread and people can dine-in in social settings and others. So, we do continue to see a reduction in the cost. And in Ontario and time-to-time in BC and sometime in retirement, we do get funding to offset these pandemic costs. So, we continue to remain hopeful and confident that eventually this cost will run down closer to zero. And if it does become permanent, for example, for whatever reason, then we would expect our funding change in long-term care and we would expect to be passing on this cost to the end resident as well.
Jonathan Kelcher: Okay, that's helpful. I'll turn it back. Thanks.
Nitin Jain: Thank you.
Operator: Thank you. Our next question comes from the line of Scott Fromson with CIBC. Your line is now open.
Scott Fromson: Hi. Thanks. Just a question on the retirement residence occupancy. Can you comment on what kind of incentives you offered? And basically, how you've been so successful in driving occupancy gains?
Nitin Jain: So, thank you, Scott. Good afternoon I know this -- we get this question asked often by investors. So, let me just say it for the record. So, we are not driving occupancy by offering incentives and I would say quite the opposite. So, we might do one-time programs in the community here and there, not very different than market could be a month free or some help at move in. Really, our occupancy drive is driven by our Aspira platform, which is personalization, our own choice and by the local community. And the third part, that's where really -- where all the local networks working closely with the doctors' offices, the hospitals, making sure that the people who are visiting, we are speaking to them offer and often. So, it really is a lot of that work on the field and our sales team has done -- and marketing team has done an incredible job at that.
Scott Fromson: And have you seen tangible benefits of the new brands?
Nitin Jain: Yes. What has been surprising to us in a good way was that even though we officially launched the brand in April, we started to see the benefit even before that because we have internally, we've been talking about the brand for more than -- for close to a year. And a lot of frontline managers and our leaders have been part of it. So we didn't realize it, but our team started selling it if the brand already existed even though before we officially launched the website and other. So we did see the benefit. Our leads were up significantly once we start speaking about the brand and putting some of the programs into place. So we definitely see the benefit of it in the past and continue to see that going forward as well.
Q – Scott Fromson: Thanks. And finally, how do you see the current macro environment with inflation rates and labor availability, how do you see that changing your plans, if at all, for development?
A – Nitin Jain: Sure. And this is where we truly believe that having a diversified portfolio is a huge strength. It's one plus one does not equal two because -- and we have seen just in a short period of my nine years at Sienna, we have seen different cycles where you have good growth in long-term care, stable, predictable. And so it becomes, well, no one is interested in long-term care at the moment because retirement is growing by double digits. Then you have multiple markets which are oversupplied and retirement occupancy declines and negative NOI growth and then suddenly, everyone likes someone to care because it's stable, predictable and then the cycle goes back and forth. So we have seen that enough in last -- just even in eight or nine years. That we feel having both of them is a natural offset against market conditions in rising inflationary costs, obviously, at the time, it would be good because you can pass on that eventually the cost to the end resident and long-term care become challenging. And an economic uncertainty, where we would be headed looks like long-term care, the stability and predictability, whether it's debt rating, whether it's our cash flow, whether it's a dividend, it definitely supports that. And from a development perspective, our development is mostly tied to long-term care homes in Ontario other than a few partnerships with others. And we remain committed to that development, and we do expect that funding cost to change over time because the current funding program is not adequate given the construction cost.
Q – Scott Fromson: Thanks, Nitin. That's helpful. I will turn it over.
A – Nitin Jain: Thank you.
Operator: Thank you. Our next question comes from Himanshu Gupta with Scotiabank. Your line is open. 
Himanshu Gupta: Thank you and good afternoon. So just a question on the long-term care. I mean, long-term care margins have come down in the first two quarters. How should we think about the LTC margins on a full year basis? And are there some expenses which are yet to be recovered from the government there?
A – David Hung: Sure. Thanks for that question. Just on a full year basis, we would anticipate that our margins would be similar to what they were in the first half of the year, around 13%. One thing that you should consider is that in Q4 of last year, we started receiving flow-through funding from the government for direct care hours. So that has the effect. And of course, there is no margin on that funding. So it has the impact of increasing our revenues but there's no impact to our NOI. And as a result of that, decreases our NOI margin. So all that to say that going forward, we would anticipate that the margin for the second half of the year would be similar as the first half.
Himanshu Gupta: Okay. And is that something structural, or do you see that recover back in 2023 from a margin perspective?
A – David Hung: Yes. No, it's not structural. Again, some of the margin compression is because of the flow-through funding that we're starting to get from – for direct care hours. We anticipate that as government funding increases back for other accommodations, we would see that margin expansion happening again in 2023 and beyond, when the government starts funding for our other accommodations.
David Hung: The only thing I would add to that, Himanshu, I think going forward, it will be important because, there's significant -- especially, in Ontario, there's significant funding change as it relates to direct care hours, and you cannot -- there is no margin in care. So what happens is, our funding is going to go up, but it's going to be a flow-through, so either is going to be spent or you have to give it back to the government. So I think what we might have to start measuring is margin dollars versus percentage, because we do expect, let's say, if suddenly everything went back to pre pandemic, but direct care hours are not going to fall. Our margin would decline just mathematically. So we can start providing a bit more -- we'll look at how better we can provide some more information in our disclosure as well to help with that.
Himanshu Gupta: Okay. Thank you. Thank you for that. And then just to clarify, there was no shortfall -- NOI shortfall because of occupancy protection. I mean, you're not getting 97% has not impacted NOI margin at all in Q2.
David Hung: Yes, that's correct. We took a small provision in the second quarter for a handful of homes that we don't -- that may not achieve the 97%, but nothing significant.
Himanshu Gupta: Okay. Thank you. And then, sticking to margins, but shifting to retirement home. Just a clarification, that 50 to 100 basis point guidance gets you to almost 39% kind of levels, but that includes the impact of pandemic expenses of $2 million to $3 million, because that's spread across the retirement home and LTC. Like, is that correct to say that?
David Hung: Yes. Sorry, I should clarify that it would be 50 to 100 basis points on top of the 38.3%, just to clarify.
Himanshu Gupta: Yes. But it includes the impact of pandemic expenses there as well.
David Hung: That's right. It would, because the 38.3% also is inclusive of the 30 -- is within the 38.3%.
Himanshu Gupta: Exactly. Okay. That’s what I was clarify -- thanks for that. Last question on the occupancy discussion, I mean, obviously, you've done a good job there. Just wondering -- you have, I think, two or three properties in the Greater Ottawa region, maybe four, I think, what I would calculate here. How is the occupancy doing in the Ottawa region for your portfolio?
Nitin Jain: Yes. I mean, our occupancy in Ottawa regions is also going up, obviously, as a -- so let's say, if stabilizing the rest of the province is 95%, 96% and Ottawa may -- would be a bit lower. But we did see occupancy gains in Ottawa as well.
Himanshu Gupta: Okay. That's great to hear. And maybe one last question here. We keep talking about the staffing shortage, is that a bigger issue in the retirement home, or is it a bigger issue in the long-term care
Nitin Jain: I would say, it's a bigger -- I mean, it's really, the issues in both. It becomes a bigger issue in long-term care, because for the same amount of beds, like 160-bed long-term care home is going to really have 160 stock members and 160 -- retirement suite might have 50 or 60. So I think that the quantum becomes higher, just because there are more people, but as a percentage, it would be similar. And where it becomes challenging, especially, for nurses, because in a long-term care home, a 160-bed long-term care home at any given time, you would have multiple nurses in the home. And in retirement, they might only be one. So once you’re missing that one person, now you are in a significant challenge, and you're relying on agencies. So I would say it's in both -- in one case, its more volume, but the impact is quite similar in both portfolios.
Himanshu Gupta: Okay. Fair enough. Thanks. I'll turn it back. Thank you. Thank you so much.
Nitin Jain: Thank you. 
Operator: Thank you. Our next question comes from the line of Pammi Bir with RBC. Your line is now open.
Pammi Bir: Thanks. Hi, everyone. Listen, I think you mentioned some softening in the occupancy in the retirement portfolio that you acquired. Can you just comment on maybe what were some of the drivers behind that? And then I'm not sure, if you mentioned it, but how much it slipped?
Nitin Jain: Sure. So it would be hard for me to comment, because it came in at a lower occupancy than where we expected it to be at. So I wouldn't know the reasons why it started lower. Having said so, what we are saying is that we feel confident in bringing back – bringing that back up and it does take two or three months to integrate things, I guess, the sales and market program going. Usually, it would take even longer. I was recently in many of those properties, and I expected to hear a lot of integration pains and in most cases, I heard things went extremely well. They felt very welcome to the Aspira and Sienna family. So we think are instead of having a six-month integration plan, we expect that it will be shorter, which is good news. And it's a bit early for us to confirm but as to where the – where we can grow that occupancy in the next 12 months. But we remain confident and optimistic that we can start bringing it closer to overall Aspira platform occupancy.
Pammi Bir: Okay. And then just in terms of maybe building on those comments around driving the occupancy. What can you share in terms of maybe what you plan to do differently that will help drive the occupancy in those assets? And ultimately – sorry, the 6% targeted yield.
Nitin Jain: Sure. I would say, again, I don't know what was being done before. So that's not for me to comment on. I think what we would be focusing on is putting the sales -- same sales and marketing platform that we have for Aspira homes in those homes. So when we underwrote that was our expectation. And that's – so that's what makes us – gives us the confidence that we can get those homes at similar levels that we have the rest of the Aspira platform app.
Pammi Bir: Okay. I'll turn it back. Thank you.
Nitin Jain: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Tal Woolley with National Bank. Your line is open.
Tal Woolley: Hi. Good afternoon, everyone.
Nitin Jain: Good afternoon, Tal.
Tal Woolley: I was just curious, if you think on the horizon, there will be any sort of steps taken to maybe rein in agency usage or maybe regulated a little bit more just because – like it's not just an issue, obviously for long-term care and retirement. It's a big issue in hospitals sort of – any sort of health care setting right now. What's the thinking? What's sort of the – maybe the old TCAs view and your view around that? Anything in the works on that front?
Nitin Jain: Sure. So that has been a discussion for a long period of time. And they are – I don't think they are very good examples in Canada at the moment. But the US, for example, I think there for a couple of years now, because they have seen that, that's happening even before COVID. For example, they put at a maximum rate of agency, because regardless of which sector you're in and that has a huge impact. So if people are going to work at an agency because they want a lot more flexibility than they have, that would make sense and that doesn't happen. And you can never make it to zero because if people call out of the last minute, at that time, you're calling agency staff. But what we're seeing happening in health care broadly, whether it's hospitals, home care, long-term care retirement is that people are leaving because suddenly you don't have to follow all the union agreements and everything else. You can just go towards agency and because the regulations, you cannot do certain things unless you have a nurse on your floor. So it doesn't really matter what the cost is you have, you pay for it. And we -- I think last year, we -- just Sienna, we paid it on close to $50 million in agency costs. And a lot of it is funded by government. So I think it's in everyone's best interest to bring that down because it is not -- in most cases, not benefiting the end teamwork anyways because a lot of it gets lost in the middle. So we continue to advocate for it internally. We continue to advocate with the associations and with government whenever we have the forum.
Tal Woolley: Okay. And then I guess one of the other surprises, I think maybe -- I mean, I'm curious to hear your perspective on it is just the fact that there was no accommodation premium increase this year. I'm just wondering if you can sort of maybe put that into context historically and whether it was surprising to the industry at large?
Nitin Jain: Yes. I mean it definitely was surprising, because we are -- especially when you're in an inflationary environment, and I think this is where a bit of a less and a long-term care is important for all of us that when we always say that long-term care is stable, predictable over a period of time. So you will have years where you're below CPI in the years which you're about, for example, there was a period of time in 2014, we had a private accommodation number increased by 5% or 6% a year without having any increases for nearly 15 years, so there was a bit of a catch-up. We understand government is also facing similar economic conditions as the rest of the industries are. So for example, food has gone up significantly, and there's a big focus on ensuring the food cost got funded. There was a big focus on care cost. So that's where the care hours increasing. We continue to advocate for better funding for OA as well, because that's where you pay for utilities. That's why you pay for insurance and all of that, which has gone up significantly. So again, we -- if history tells us anything, it will be that over time, they will be caught up. But you're correct, 100% that there is a shortfall for the current time period.
Tal Woolley: And with the Class C beds, I'm just wondering, is there any concern around lending on those assets as we get closer to 2025, and if the redevelopment process kind of needs to go through another rethink here in terms of the formula. Is there anything we're going to have to is that the industry is going to have to manage in terms of trying to figure out how lending is going to work?
Nitin Jain: Sure, Tal. So just to clarify, I guess, the second part of the question, the first part on the current C homes. Is that the question?
Tal Woolley: Yes. I'm just thinking like it's probably already pretty clear that we're not like the probably -- the industry is not going to get through the entirety of the C beds by 2025. But my understanding is that there's a bit of a challenge around refinancing loans on some of these homes like it because the licenses expire in 2025?
Nitin Jain: Sure. So, I mean we are in a fortunate situation on the first side where we do not have any financing need on any of our C homes. So they all are encumbered. And we did it for the purpose, because we want to make sure we can develop as need be. The construction cost has gone up significantly. So the current funding does not work, and that's across the sector. I don't think that's one of the news for anyone. We do continue to feel confident that eventually there is going to be the right program. We continue some of the pre-work that is needed for many of our sites. So, we are committed to this program. But it has to make financial sense to ensure that we can borrow. It has the right return for people involved in it. So, I think everyone recognizes this is not a surprise for anyone that the cost has gone up and the funding formula has to change and we do expect that to change.
Tal Woolley: Okay. And then just lastly, the store grants, do you expect that to be an annual thing?
Nitin Jain: Yes. So the way it is structured is that it is a one-time brand for any just to complete the year. So it's a one-time from -- if you start it, you're only going to get it one-time. But you -- the team members have a chance to actually do a matching program where we would match up to a certain dollar amount. So, I think this initial number is obviously much bigger because we were catching up. I think the second brand might be bigger and relative, not bigger than 1.6 million. But bigger to the ones follow after that, because there were some team members, who actually do a matching program where we would match up to a certain dollar amount. So I think this initial number is obviously much bigger, because we were catching up. I think the second brand might be bigger and relative, not bigger than 1.6 million, but bigger to the ones follow after that, because there were some team members who are who wanted to wait to see how things work because there's obviously administrative process in getting those shares granted. So we do expect the second tranche to be a little bit bigger than others. And after that, it should be a much smaller number because you're really granting it to people who have less than a year in the company.
Tal Woolley: Okay. But it will be sort of an ongoing expense then?
Nitin Jain: That's correct.
Tal Woolley: Okay. Perfect. Thanks very much then.
Nitin Jain: Thank you. Thank you. And I'm currently showing no further questions at this time. I'd like to turn the call back over to Nitin Jain for closing remarks.
Nitin Jain: Thank you, Shannon. Thank you, everyone, for joining our call today. On behalf of our [indiscernible] joining our call today on behalf of your continued support, and I hope you have a great rest of the summer.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.